Operator: Good day ladies and gentlemen, and welcome to Halliburton’s first quarter earnings conference call. (Operator Instructions) I would now like to turn the conference over to your host today, Christian Garcia, Vice President, Investor Relations. Please begin.
Christian Garcia: Good morning and welcome to the Halliburton first quarter 2010 conference call. Today’s call is being webcast and a replay will be available at Halliburton’s website for seven days. The press release announcing the first quarter results is available on the Halliburton website. Joining me today are David Lesar, CEO; Mark McCollum, CFO; and Tim Probert, President, Global Business Lines and Corporate Development. In today’s call Dave will provide opening remarks, Mark will discuss our overall financial performance and Tim will provide comments on our operations and business outlook. We will welcome questions after we complete our prepared remarks. I would like to remind our audience that some of today’s comments may include forward-looking statements reflecting Halliburton’s future events and their potential impact on performance. These matters involve risks and uncertainties that could impact operations and financial results and cause our actual results to differ from our forward-looking statements. These risks are discussed in Halliburton’s Form 10-K for the year ended December 31, 2009, and our recent current reports on Form 8-K. Our comments include non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures are included in the press release announcing the first quarter results. Note that we will be using the term international to refer to our operations outside the U.S. and Canada, and we will refer to the combination of U.S. and Canada as North America. Dave?
David Lesar: Thank you Christian and good morning to everyone. Our first quarter results reflect the sharp contrast between the North America and international markets. Total revenue for the first quarter grew 2% sequentially, with a 19% increase in our North American business offset by a contraction in our international operations. In North America, the rebound in U.S. drilling activity combined with the secular trend toward more service intensive work resulted in a meaningful absorption of the industry’s oil field equipment capacity. This is most evident in stimulation, where utilization approached levels not seen since 2008. This activity rebound provided an opportunity to improve pricing across most of our product service lines as the quarter progressed. Outside of North America, international markets experienced a more challenging than expected environment. Our first quarter results reflected the expected impact of renewal of contracts that [inaudible] in 2009, as well as the usual seasonal declines in software and direct sales. However, we also experienced project delays in worse than normal weather conditions in certain markets. We now believe that tangible indications are appearing that barring any major economic disruption, the industry may experience a steady resurgence in international activity during the second part of 2010 and into 2011. Our balanced geographic and product portfolios have thus far, and I believe will continue, to serve us well, given the contrasting points in the cycles that we have for North America and the international markets. Our strategy remains the same. We will continue to invest in key markets and focus on retaining our strong market share position. Let me now discuss our financial results in more detail, starting with North America. North America revenue grew 19% sequentially versus a U.S. rate comp growth of 21%. Operating income improved by about 120% over fourth quarter levels. The shift toward the major shale’s has continued unabated and now constitutes roughly 35% of the total drilling activity in the U.S. In addition, horizontal directed activity is now 20% higher than the peak levels in the third quarter of 2008, despite the fact that the total rig count is 30% off of those highs. These trends have led to increased demand for our products and services, and provided opportunities to negotiate improved pricing for most of our product service lines that is closer to levels necessary for us to generate adequate returns. Now these increases varied widely across product service lines and basins, and were most evident in those service intensive plays like the Bakken, Haynesville, Eagle Ford and Woodford, where demand for completion equipment has far outstripped capacity. In fact, in the Haynesville and Bakken we are now in 24 hour operations and also an increasing number of jobs are on 24 hours in the Eagle Ford and other gas basins in the Rockies. These operations are providing us with good incrementals to improved equipment utilization while enabling our operator customers to utilize more complex fracture treatments that lower overall program costs. By leveraging this completion demand, we are also able to pull through some of our other services. Natural gas fundamentals are causing concern, coming out of the heating season which may disrupt the current rebound in drilling activity. The resiliency of gas production, despite curtailed drilling activity from peak levels raises the risk of continued pressure on natural gas prices over the next several quarters. In this scenario, we believe drilling in the unconventional basins will take precedence over drilling in the conventional plays, as they generate better returns at lower natural gas prices for our customers. Further, operator hedging positions and the need to drill to hold acreage positions may serve to moderate the rate of the unconventional rig decline. We are also seeing producers shift their portfolio toward unconventional oil in liquid rich gas plays due to the stability of oil prices and higher operator returns for these resources. Completing these wells requires advanced fracturing fluid and completion technology, and also matches the service intensity of the unconventional gas plays. This in effect creates an additional opportunity for us to differentiate ourselves with our customers, and Tim will expand on this in his section. This shift to oil plays is clearly demonstrated by an award from a major EMP for its stimulation work in the Williston Basin. This contract is valued at around $750 million and signifies our customers increasing commitment to oil directed activity, and its desire to work with service companies that offer differentiated technologies. Given these factors, we do not currently anticipate a major correction in the U.S. rig count, but instead believe that levels may be range bound for some period of time. If this occurs, it may restrain our ability to achieve significant further price increases and limit substantial improvements in margins for our North America business for a few quarters. However, our Q1 results did not fully reflect the impact of increased prices that occurred throughout the quarter, and as such we are anticipating modestly improved margins for the second quarter, even if activity holds at current levels. Let me now turn to our international business and start with Latin America. Latin America posted disappointing results for us in the first quarter, primarily due to our operations in Mexico. In our fourth quarter call we discussed the changing landscape in that country as Pemex was modifying their spending profile for both onshore and offshore to meet their production objectives. We expected that these changes could have beneficial implications to Halliburton and decided to keep our cost structure intact to enable us to respond quickly. However, first quarter activity levels further deteriorated as new projects and discrete services work have been significantly delayed, while also winding down a number of the IPM projects. If activity levels in the country do not recover soon, we will adjust our cost structure appropriately and may incur some restructuring charges in the coming quarters. Now turning to the Eastern Hemisphere, Eastern Hemisphere revenue decreased 9% sequentially with declines in both regions. Eastern Hemisphere margins declined to approximately 15%. In our fourth quarter call we reminded everyone of the typical seasonality related declines that historically occur in the first quarter of the year. These items were further exacerbated by harsher than normal weather in Russia, the North Sea and certain parts of Asia. Also project delays and lower activity in certain key markets, such as Algeria, all led to a more than expected contraction of our margins in the first quarter. Activity declines have also been acute in the UK sector of the North Sea, where drilling activity has dropped to its lowest level in six years. We now anticipate that activity may start picking up from the current levels, as the continued recovery of capital markets provide funding to North Sea operators for their development programs. We had previously indicated that our Eastern Hemisphere margins may trough in the second quarter of 2010. We now believe that our Eastern Hemisphere margins should not deteriorate from current levels, as any additional impact of last year’s re-pricing of contracts could be offset by the activity rebound in the weather affected areas and new project start ups. So despite temperate activity levels in the first quarter, our current visibility to multiple projects is providing us with increased confidence on the trajectory of our international business in the latter half of 2010 and into 2011, although as we said earlier it will be uneven among major markets. We are currently seeing growth momentum in project activity as well as an increase in our win rates. For example, we saw Q1 order rates for our Completion tools business increase 22% from fourth quarter levels. On top of that, we were recently awarded a contract from an IOC in West Africa for their upper and lower completions work. This win, together with the frac pack and gravel pack completion awards in Brazil we received in Q4, are reinforcing our position in the major deepwater markets. First quarter order rates and these major awards bode well for this product service line toward the latter part of the year and beyond. We have also been awarded an offshore multiple product line contract in Angola for the provision of cementing production enhancement, completion, wireline and perforating services valued at $1.3 billion. So going forward we will continue to employ the strategies that have driven the expansion of our market position. We will continue to direct our resources and capabilities to the more economic and sustainable unconventional plays in North Africa. We will continue to increase exposure to the industries highest growth markets like deepwater and global unconventional resources. We’ll continue to leverage our service offerings through integrating our technical solutions to provide more value to our customers, and lastly, continue to seek ways to be one of the most cost efficient providers in the industry. Let me turn it over to Mark for some more color on our financial results. Mark?
Mark McCollum: Thanks Dave, and good morning. Let me provide you with our first quarter operational highlights. I’ll be comparing our first quarter results sequentially to the fourth quarter of 2009. Our revenue in the first quarter was $3.8 billion, up 2% from the fourth quarter. Total operating income for the first quarter was $449 million, up 5% from the previous quarter. Strong growth in North America offset declines in our international business. Our fourth quarter 2009 results included a $50 million charge relating to a receivable settlement in Venezuela. International margins in the first quarter dropped to 14%, with Eastern Hemisphere and Latin America posting margins of 15% and 9% respectively. The margin decline is generally attributable to the seasonality issues and lower pricing that we discussed in the fourth quarter. In addition, we experienced more inclement weather than normal and project delays in certain locations as Dave previously mentioned. For North America, margins in the first quarter increased from the prior quarter due to strong activity and improved pricing across most basins, with overall incrementals above 40% in both divisions. Margins progressively improved throughout the quarter, and as such, assuming a relatively stable pricing and activity environment, we are anticipating a slight increase in North American margins in the second quarter. Now I’ll highlight the segment results, and note that we have excluded the fourth quarter receivable settlement charge and the operating income comparisons that followed. Completion and Production revenue increased $146 million or 8%, and operating income improved 38% due to strong North America results. Seasonally lower vessel and other activity in the North Sea, Russia, China and Australia in the first quarter offset North America’s strong growth. Looking at Completion and Production on a geographic basis, North America revenue increased by 23% while operating income tripled, as we have seen activity and pricing rise, especially in the deeper shale basins where increased completions intensity has led to the meaningful absorption of over supplied equipment in the industry. In Latin America, Completion and Production revenue was essentially flat, but operating income increased 26% from improved performance in southern Mexico and Venezuela. In Europe/Africa/CIS, Completion and Production revenue and operating income decreased 9% and 37% respectively due to inclement weather in Russia and lower activity in the North Sea in Algeria, partially offset by increased production enhancement activity in Egypt. In the Middle East/Asia, Completion and Production posted sequential decreases in revenue and operating income of 8% and 23% respectively due to seasonally lower completion tools sales in Australia and China. This was partially offset by stronger activity in Indonesia and improved operation performance in Oman. In our Drilling and Evaluation division, revenue and operating income declined, primarily as a result of seasonally lower direct sales for wireline and Landmark, as well as lower drilling activity in Mexico and Algeria. The lower activity was partially offset by improved North America results. In North America, Drilling and Evaluation’s revenue and operating income increased 12% and 60% respectively, as most of our product service lines continue to benefit from increased horizontal drilling, which grew approximately 30% from the fourth quarter. This has favored our well construction technologies and we expect that this underlying trend will continue. Drilling and Evaluation’s Latin America revenue and operating income declined 12% and 58% respectively from the typical slowdown in Landmark revenues across the region, lower activity in Mexico and lower subsea and testing activity in Brazil. In the Europe/Africa/CIS region, Drilling and Evaluation revenue and operating income were down 7% and 17% respectively due to lower activity in Algeria and Nigeria and weather related issues in Russia, partially offset by higher offshore drilling services activity in Norway and Angola, and wireline activity in Libya and Egypt. Drilling and Evaluation’s Middle East/Asia revenue and operating income were down 12% and 41% respectively from seasonal declines for Landmark software sales, direct sales in China, as well as lower activity in Southeast Asia. In the first quarter, we completed the mobilization and studded our first wells for the South Ghawar project, and D&E’s improved performance in Saudi Arabia, as well as Kuwait and Oman, helped to offset some of the seasonal declines in other areas. Now I’ll address some additional financial items. As we discussed in our fourth quarter call, we took a charge in the first quarter of approximately $41 million to reflect the impact of the recent impact of the recent devaluation of the Venezuelan Bolivar. This charge has two components, first, a non-cash exchange loss of $31 million which is not deductible for Venezuelan tax purposes and second, additional income tax expense in Venezuela for our U.S. dollar denominated monetary assets and liabilities of $10 million. We continue to forecast that our effective income tax rate for the balance of the year will be between 32% and 33%. And finally, we currently expect our capital expenditures for 2010 to be approximately $2 billion. We have accelerated some of the capital deliveries slated for 2011 into 2010, given our current visibility of the international projects in the latter part of 2010, as well as the equipment we believe will be required to sustain the more service intensive work of our North America business. Tim?
Timothy Probert: Thanks Mark, and good morning everyone. So let me provide some additional color on the secular trends that Dave mentioned. First, the focus on oil and liquids rich gas plays which is driving increased activity in North America. Oil directed rigs have more than doubled from the trough in 2009 to levels not seen since the 1990’s, now representing close to 35% of total rig count. In addition, interest has been quite high for the wet gas basins of the Eagle Ford, Granite Wash, Colony Wash and others, which are not fully represented in these numbers. These assets generate higher returns for our customers than dry gas basins because of their liquids content. Extracting liquids from these reservoirs can be challenging due to their low permeability and require technologies such as high conductivity fluids, high performance surfactants and improved fracture placement techniques like pinpoint stimulation that are beneficial to Halliburton’s service mix. These plays are increasingly drilled horizontally and can be quite service intensive. In the Bakken, for example, operators are using over 30 frac stages in the treatment of their wells. The continued growth of activity in these plays may be an important offset for potential weakness in the future natural gas directed activity. Dave also emphasized the importance of integrated services in providing operators the ability to maximize value from their assets in a lower natural gas price environment. A key Halliburton offering is the ability to calculate and visualize stimulated reservoir volume, determined from fracture mapping techniques, including micro-seismic monitoring and tilt meter and fiber optic temperature sensing technologies along the lateral section. Visualizing the stimulated reservoir volume in real time enables changes to be made to the stimulation treatment to increase the estimated ultimate recovery. Halliburton delivers leading evaluation technology to provide operators the ability to minimize stimulation [inaudible], maximize production, and importantly to optimize well bore placement to further help customers improve returns on their assets. Finally, many of you may have seen our press release regarding our intent to establish a new product service line coincident with the acquisition of Boots & Coots. Upon closing, we will merge our well intervention services with the assets of Boots & Coots. This new product service line will focus on growing opportunities in well intervention as operators seek to address their production challenges in both mature and emerging oil and gas basins globally. This acquisition, like the 15 other acquisitions we’ve made in the last two years, is consistent with our articulated strategy of executing both on acquisitions to enhance our market position, coverage and growth. Dave?
David Lesar: Okay. Thanks Tim. And let me just quickly summarize and then we’ll turn it over to questions. The secular trend of service intensity in North America is driving significant improvements in equipment utilization, which is enabling us to implement price increases that lead to strong margin improvement in the first quarter. Going forward, we remain cautious on the natural gas outlook for the next several quarters, but we will continue to direct our resources to those basins that require our differentiated technologies. International activity has been challenging in Q1. However, there are strong indications that are providing us with a confidence that a steady resurgence may be underway and will continue as we go into 2011. Our strategy remains the same. We will continue to execute our strategy of investing in key markets where we can leverage the breadth of our technology portfolio. We will strive to retain our expanded market position as the industry transitions into the next cycle. So let’s go ahead and open it up for questions.
Christian Garcia: Yes. Before we open it up for questions, we would like to clarify our statement that one of our strategies that we will employ is to continue to direct our resources and capabilities to the more economic and sustainable unconventional plays in North America and not North Africa. Sean, let’s open it up for questions.
Operator: (Operator Instructions) Your first question comes from Kurt Hallead - RBC Capital Markets.
Kurt Hallead - RBC Capital Markets: Just on a follow up that I would have here you referenced the North American activity now being relatively flat, you think for the next few quarters. I think heading into the first quarter, if I’m not mistaken, Halliburton may have had some concerns that the rig count may drop and I’ve heard numbers anywhere between 150 to 200 rigs. So I guess maybe to look at it in this context, you think the gas rig count will essentially drop from here and then that will be offset by oil? And the follow up on that means, though, that you’re not going to lose any revenue intensity or service intensity because of the type of oil drilling that’s taking place, I’m just wondering if you could provide a little more color around the mix shift that we’re going to see in North America.
Timothy Probert: Yes, Kurt, this is Tim. I mean clearly we have mentioned on our call and previous calls that we expect the rig count to be ranged down over the course of the next couple of quarters. I think we’ve all been a little surprised at the speed of the shift from dry gas to liquids rich gas activity, and as I mentioned 35% of the land rig count now is directed in that liquid hydrocarbon range. So I think that we see a couple of things. We see a negative downward pressure on dry gas. We see some strong hedge positions. We see also the importance of drill to hold and we see the shift towards liquids plays, which most of the operators are discussing in some detail. So we think generally speaking we will see this range band of activity, dry gas dropping a little, some strength in liquids and the combination being in sort of a reasonably tightly band range.
Kurt Hallead - RBC Capital Markets: For Dave, on the international markets you used the word resurgence a couple of different times. What geographic areas do you see surprising to the upside and what do you see potentially surprising to the downside relative to coming into the beginning of the year?
David Lesar: Yes, I mentioned one in particular. I think we’re starting to believe the North Sea will come back. Asia was hit with a series of weather related issues in Q1, so I think we see those projects continuing. West Africa continues to be reasonably strong. Middle East is steady. Algeria is a big wild card right now and things are in a little bit of a flux in that country. It’s a big area of operation for us, so that would be sort of the one wild card I see out there right now, but I wouldn’t point to one particular area as being particularly good or bad. I think the indications are it should be increasing just about everywhere in the Eastern Hemisphere.
Operator: Your next question comes from William Herbert - Simmons & Company International.
William Herbert - Simmons & Company International: Along the lines of your prophecy here of the steady resurgence in the Eastern Hemisphere activity, could you frame the likely margin evolution and really talk about the prospects for recapturing pricing for the service industry? Probably a ways away, but I’m just curious as to a road map with regard to margins, targeted incrementals and when could we expect to see some positive pricing leverage?
Timothy Probert: Let’s talk first of all a little bit about cost. I mean clearly we have maintained a position in our international markets for a degree of readiness with respect to projects that haven’t exactly happened in the time scale which we would originally have planned. So that clearly is a leverage impact from the cost structure which is in place. I think secondly, you know, once the international market does behave very differently to the North America market, the strength of the North America market does have an impact on the international markets and so the tightening of capacity and supply in North America is a favorable impact long-term, or I should say in the medium term in the international market. So we think there are a couple of variables which cause us to believe that in the Eastern Hemisphere that we have troughed essentially during the course of Q1, Bill.
William Herbert - Simmons & Company International: So getting back to the evolution, understand the trough, let’s start with Q2. Are margins flat to up in the second quarter with regard to the Eastern Hemisphere or perhaps a bit better than that?
Timothy Probert: I think flat to up would be a good description.
Operator: Your next question comes from Daniel Boyd - Goldman Sachs.
Daniel Boyd - Goldman Sachs: You mentioned that, it sounds like demand is outstripping supply in a number of basins in North America, the Bakken, Haynesville, Eagle Ford and I would assume going forward that’s where your customers will continue to choose to deploy capital. Are there opportunities for you to mobilize equipment from other regions? Will modifications be required? And how do you see this playing out? Are we at a point now where the returns are such that it makes sense to add capacity?
Timothy Probert: Yes, clearly there is a tightening and I think that there is a general sense in some of these basins that our customers are challenged to get the work done in the timeframe in which they would like to do it. And I should sort of emphasize that perhaps this is more oriented towards our stimulation equipment than it is for every product line in which we’re active. But during the course of the year we have certainly undertaken a significant amount of rebalancing of equipment and focusing on those areas where we have the most significant opportunities for the short, medium and long-term. And so we certainly are taking opportunities to relocate equipment where it makes sense for us to do. And as we have told you previously, we have been adding a certain degree of maintenance capital to our fleet to insure that we can meet the challenges of very large, horsepower spreads which are in place today.
Daniel Boyd - Goldman Sachs: On the international market, it did seem that the margins in Middle East/Asia in the D&E division were really the only area that surprised us with the downside relative to what we were expecting. Can you help me understand how much of that was seasonal, how much of it might be related to carrying additional costs as you ramp up for projects in the Middle East? And specifically with that division, with that region, how we should expect margins to play out.
Mark McCollum: Dan, this is Mark. As we said on the call, you know one of the largest seasonal impacts that we experience in the first quarter is always the falloff in our direct sales, which significantly helped the wireline business within D&E as well as our Landmark business as well. And so those two particular changes do have a dramatic impact on the margins for D&E in the first quarter. So we should expect some pickup in the margins and the overall activity for D&E as we get on into the year and those seasonal impacts are overcome.
Timothy Probert: I would just add one thing to Mark’s comment there and that is that we did have one large project startup during the course of the quarter in Asia. The startup process was a little bit more protracted than we had originally anticipated and that did impact our costs substantially during Q1 for D&E.
David Lesar: Also just to add to that, since you’re looking at the Asia/Middle East region, we also had the startup costs on the South Ghawar project which is up and going at this point in time. And we have the continued ramp up and expense of building out our operations in Iraq. So the Middle East/Asia/PAC region basically had to bear all of that cost and a lot of that goes toward the D&E division.
Daniel Boyd - Goldman Sachs: So with that, that should be the one region that shows the most improvement sequentially. It sounds like the really only overhang of startup costs really is Iraq and obviously that’s positive for future activity.
Timothy Probert: We certainly hope so.
Operator: Your next question comes from Angie Sedita – UBS.
Angie Sedita - UBS: Dave, you mentioned and we’ve discussed it a little bit already, but tangible signs for a recovery in the international markets in the second half and you’ve pointed to the North Sea as well as West Africa and deepwater. Are you seeing an increase in conversations with your customers? Or could you just give us a little color there on the activity for the second half? And then if you’re expecting more of a driver on the activity side, and pricing more 2011 or potential pricing improvements later this year.
David Lesar: I think, Angie, it’s more than conversations. We’re seeing projects get awarded, we’re seeing rigs get tender and awarded and being moved into places. And so we see these projects actually getting up and moving forward. So I think we see a real tangible effect of an increase in activity. You know as Tim has said, I think on the margin side we did not essentially cut back our infrastructure in any big way in the Eastern Hemisphere and we’ve got to absorb some of that capacity as this revenue streams comes back online. And then I think that with the higher oil prices that are out there today, our customers are just more confident that they can start these larger projects. And I think it’s important to keep in mind, in the international markets, it’s primarily an oil driven market. The projects today are very, very large and so once they get started there’s essentially no turning back on them. But what our customers have been reluctant to do is start these projects in sort of the oil price environment we saw throughout last year. But we’re confident now they’re getting awarded, they’re going to get started, and once started there’s no turning back.
Angie Sedita – UBS: Just a follow up on pricing. Clearly pressure pumping in North America has been strong on the pricing side. Where else are you seeing some pricing power due to tight capacity? Is it drill bits, structural tools?
Timothy Probert: Yes. I think as the numbers or the incrementals from North America would suggest, Angie, that certainly in areas of our Drilling and Evaluation business related to the well construction activities we’ve seen, a stronger position there through the course of Q1. So anything really relating to the sort of horizontal activity has been good and we’ve generally sort of started to see improvement even in those product lines where activity has led to sort of very poor and slow movement on pricing such as wireline.
Operator: Your next question comes from James Crandell - Barclays Capital.
James Crandell - Barclays Capital: With you seeing in the U.S. full utilization of your stimulation fleet and I guess pretty full utilization of both directional and cementing, are you to the point where you’re actually trying to restrain price increases? I imagine that at some point you’re going to reach a level that you don’t want at all for things to evolve like they did last cycle, where you and others followed the market up or pushed or helped push it up and attracted a lot more capacity. So are you to the point yet where you’re really trying to restrain things on the stimulation side?
David Lesar: No. Absolutely not, Jim. We’re just now getting back to where we think we’re earning a reasonable return on those assets. You know the scenario you outlined is one that did exist sort of in the last uptick but you know we had pricing pushed down so far that we just frankly weren’t getting our cost to capital back on these assets, even though we continued to invest in them. And we’re now just sort of breaking through that point and we’ve got to be comfortably above that before we would have any discussions along the line of what you suggest.
James Crandell - Barclays Capital: And do you sense, Dave that people in the industry are beginning to add capacity to the stimulation business, given the heavy wear and tear on equipment?
David Lesar: Well I think, Jim, Tim can comment because he watches that closer than I do, but you put your finger right on it. I mean these shale plays, these unconventional plays still continue to be very, very disruptive to the equipment. And therefore you actually need to build a fair amount of equipment every year just to stay in place with your horsepower capacity. We’re taking 30,000, 40,000 horsepower out to some of these jobs today and so the turnover of your equipment and the maintenance cost is dramatically higher than it has been. So you clearly have to bring more equipment in basically just to replace the fleet that you’re grinding up.
Timothy Probert: Yes, just to add to that Jim, it might be helpful to think in terms of there’s about 7 million horsepower in North America today, based on sort of current estimates. And if you think about requirements for maintenance capital around that particular number, it’s going to be quite significant. Obviously at 5% you’re in the range of 300,000 to 400,000 horsepower per year. So certainly the scuttlebutt is we’re seeing some capacity being added into the market. Lead times for that seem to be in the sort of six to nine month range so it would suggest that, to us at least, that there’s probably going to be a muted addition of capital, certainly in the first three quarters of 2010.
James Crandell - Barclays Capital: And my second question, Dave, concerns Iraq. At this point do you see other consortiums following the BP lead or waiting until the elections in Iraq are sorted out? And does there seem to be any concern among your customers that the new government might change the terms on this?
David Lesar: Yes, I think we are seeing some tendering activity moving forward and I expect that you would see some awards on that this summer. I think that our customers are taking a bit of a wait and see to see how the new government settles out. I don’t think they’re concerned that there’s going to be a change in terms as much as they’re concerned just about getting a delay and getting their deal signed off on, their tenders agreed to and basically validated by Southern Oil Company or whoever has to sign off on it. But at this point in time, we’re not seeing any diminished enthusiasm for starting up their operations in Iraq.
James Crandell - Barclays Capital: And Dave, what are you gearing up to in Iraq right now? I think one of your competitors said they expected to have 600 people on the ground at the end of the year. Another one who’s been there longer has talked about having I think eight bases in Iraq right now and then of course a lot more people than 600. How quickly are you gearing up in that country?
David Lesar: Well, we’re in the process of building our first major base there just like our major competitors are and we also have plans for a series of bases. We know where they are. We’re in the process of securing the facilities and the land at this point in time. There’s going to be plenty of work in Iraq and believe me all the service companies will have opportunities there. So we’re going along at the pace we want and we’re confident we’re going to be successful.
Operator: Your next question comes from William Sanchez - Howard Weil Inc.
William Sanchez - Howard Weil Inc.: Tim, just to follow back up on the second quarter margin expectations, I guess North America, the R&M that you mentioned here I guess one would expect given that March was probably a very, very good month and that margins were I’m guessing higher than what you average for first quarter North America, even in an environment where pricing from here doesn’t improve radically, the margin improvement should be pretty healthy. And it sounds like its more muted than one would expect and I’m just wondering how much of the impact of that R&M now are you actually going to start seeing in second quarter as opposed to what maybe [inaudible] might have thought would have tempered first quarter margins or incrementals a bit?
David Lesar: Yes. Let me put a little more color on that. First of all, we’re seeing our vendors, our prop in vendors, sand vendors, etc., start to want price increases. So we will have some inflationary pressure on that side of the equation in terms of us getting our price increase. Our vendors are going to want some price increases. You know clearly we are the price leaders, especially in stimulation in North America and your observation is absolutely correct. Our margins in March were higher than the average margins that we had for the quarter. We’re not going to telegraph where our exit margins were or where we believe they can go, just because as a price leader we don’t want to put that out there for competitive reasons. But I think the issue around the rig count, the issue around probably some reduction in the conventional gas plays, sort of push your rig expectations down. On the other hand, your rich gas and your oil plays push expectations up a little. You throw a little inflation in there and we really want to get through another quarter to really get a more accurate view of where this can go the balance of the year. And as we said, a lot of the repair and maintenance stuff, you know, we’re incurring that right now anyway.
William Sanchez - Howard Weil Inc.: Just as a follow up, you mentioned you’re the pricing leader on stem. Is it safe to say you’ve also been gaining share here so far this year and expect that to continue into this quarter?
David Lesar: We believe so, but we’ll probably know over the next couple of weeks whether that’s true or not.
Operator: Your next question comes from Geoff Kieburtz - Weeden & Co.
Geoff Kieburtz - Weeden & Co.: I guess I’d like to get your view on the North American stimulation market in particular here. You know when you talk about the hedging positions and the drilling to hold leases as being a factor in the drilling activity, I’m having a hard time reconciling that with your other comment about the capacity constraints are limiting your customers ability to get their work done in a timely fashion and I guess maybe there’s no difference there, but if there’s a lot of drilling going on to hold leases I guess I’m not quite clear why there’s such urgency to move forward with completion.
Timothy Probert: I think, Geoff, clearly our concern is the current gas pricing fundamentals don’t seem to support the degree of dry gas activity which is underway at the moment. We certainly see that weakening. You know the fact of the matter is that as we move into more liquid areas including sort of true oil shales, there is a significant amount of intensity associated with the delivery of those jobs. And so you know we’re essentially shifting from a gas environment to an oil environment, which has a high degree of intensity. So I think that’s the shift that you’re seeing. But I think that most of us would believe that we will see some softening in the rig count for dry gas which will clearly relieve the pressure on overall service requirement.
Geoff Kieburtz - Weeden & Co.: And I understand it might limit your ability to move prices higher than where they’re maybe sitting right now, but it sounds also as if you expect that pull back in dry gas drilling to be primarily conventional reservoirs and may not have any negative effect on Halliburton’s financial performance.
Timothy Probert: That’s certainly possible, though current rig count performance sort of would indicate that even locations like the Haynesville are actually dropping a few rigs.
Operator: Your next question comes from Robin Shoemaker – Citigroup.
Robin Shoemaker – Citigroup: I wanted to turn to Mexico for a minute. Of course you pointed out the very slow start to the year, but didn’t Pemex basically have a budget for this year which was kind of flattish with 2009 and running well below that level now? But how confident are you that activity will pick up later this year and avoid the situation where you need to address your cost structure there?
Timothy Probert: You know I think clearly for the long-term we have a very strong feeling about potential in Mexico. However, as we told you I think during our January call we’re basically holding onto our cost structure in Mexico in anticipation of a number of projects which would be underway in this timeframe, Q1, Q2 timeframe. The lag process which we discussed in January is underway but it is not going to lead to meaningful incremental activity until later this year and we are a little disappointed, clearly, as Dave mentioned earlier, with the rate of development of the market, given the cost structure activity which has been underway in the course of 2009. So we will monitor the process during the quarter of Q2 and take action accordingly.
Robin Shoemaker – Citigroup: And on the integrated project management in the Chicontepec field, have you worked out all the aspects of incentive based fees for that kind of work? And in other words, if you develop clearly superior ways of [inaudible] and completing wells so as to increase productivity in Chicontepec that you are going to share in the economic benefits of that? I’m just asking your understanding of how that’s going to work now.
Timothy Probert: Well really the focus today is the concept which Pemex are calling a lab concept, which really gives an opportunity to take a close look at subsurface and to really establish whether or not there really is a better way to prepare locations essentially to plan wells, as well as to drill and execute them. As to the collaborative approach, together with Pemex to try and identify more productive segments of the reservoir section that might ultimately improve the overall economics for them, which as you know has been a challenge. And so we continue to work very closely with Pemex in that regard, and clearly the combination of subsurface expertise combined with drilling and also with completion expertise is going to be the key differentiator for companies going forward.
David Lesar: But I think, Robin, to answer the question, you know, the reason they’re calling it a laboratory is that we are going to experiment with what may be the best way to drill and complete and produce these wells. And it would be at the end of these laboratory experiments that they will choose one or two companies to work with. And at that point in time, you would work out the incentive based structure that you would use going forward. So these labs don’t really have that in there. It’s to establish the baseline of what you might be able to do going forward and how you would benefit from that.
Operator: Your next question comes from Brad Handler - Credit Suisse.
Brad Handler - Credit Suisse: Could you guys give us a little more color on Algeria? I don’t want to overstate its relevance but it does seem that the political quagmire and you haven’t made any comments about sort of assessing your commitment to there. So if you could shed some light on that, I’d appreciate it.
David Lesar: Yes. Algeria is a decent size market for us and for the industry, but it’s also a very high cost market. And so you have to have a base of business there to get the kind of returns, base of business in terms of revenue stream, to get the kind of returns you want. And because of some of the issues that are going on within the government and within Sonatrach, a lot of the decision making that would normally move your business along, i.e., the awarding of contracts; the extension of contracts; the approval of subcontractors, etc., is not going on. And so there is another situation where we essentially fully invested and have a very good business but a very high cost structure, and the revenues right now are not sufficient to overcome that cost structure. But there is a market that we’re committed to. We’ve been there a long time and we’re just going to wait for the politics to play out and then we should be able to resume our activities there.
Brad Handler - Credit Suisse: Do you sense that does all of the leadership have to be kind of released before these projects can move forward? Or is there some middle management process that can kind of progress the projects?
David Lesar: I think what they just have to do is get a structure in place that can approve the awarding of contracts or contract extensions, etc., and then we can move forward. I don’t know what the governance inside Sonatrach is on that, but we’re hopeful that it will be happening fairly soon.
Brad Handler - Credit Suisse: And an unrelated follow up, please, the two big contracts that you mentioned, the $1.3 billion Angolan work and your Williston basin award, can you tell us over what time you expect to recognize those revenues for both?
Timothy Probert: Good question. I believe that the Angola contracts will be over about a six year period. The North America contract is, I think, four years.
Operator: I’m not showing any other questions at this time, gentlemen.
Christian Garcia: That’s good. That will do it for us. Before we close we would like to announce that Halliburton’s second quarter 2010 earnings conference call will be held on Monday, July 19, 2010 at 9:00 AM U.S. Eastern time. Thank you for your participation in today’s call. Sean?
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the conference. You may now disconnect. Good day.